Operator: Good morning. My name is Joanna, and I will be your conference operator today. At this time, I would like to welcome everyone to Whitecap Resources Fourth Quarter and Year-End 2020 Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Whitecap's President and CEO, Mr. Grant Fagerheim. You may begin your conference call.
Grant Fagerheim: Good morning, everyone, and thank you for joining us this morning. I am joined by 4 members of our senior management team: our CFO, Thanh Kang; as well as Darin Dunlap, our VP of Engineering; Joel Armstrong, Vice President of Production & Operations; and Dave Mombourquette, Vice President of Business Development & Information Technology.  Before we get started today, I would like to remind everybody that all the statements made by the company during this call are subject to the same forward-looking disclaimer and advisory that we set forth in our news release issued yesterday. In 2020, the energy sector experienced significant volatility in commodity prices as a result of unprecedented demand destruction from the COVID-19 global pandemic. With rapidly changing market conditions, the Whitecap team was focused on a strategy that protected the business, our balance sheet and our liquidity while also providing stable returns to our shareholders.  We prioritized the balance sheet by halting our drilling program in mid-March to reduce capital outflows, reducing costs where possible, including operating, G&A as well as our monthly dividend. The combined efforts of the entire Whitecap team allowed us to deliver strong financial and operational results with continued emphasis on maintaining an excellent health and safety record, both in the field and in the office. Our 2020 annual average production was 68,662 boe per day on a disciplined capital program of $195.9 million. Strong netbacks generated funds flow of $433.9 million and allowed us to provide $87.3 million in dividend payments to our shareholders while improving our balance sheet with approximately $110 million in debt reductions on a total payout ratio of 65%, including capital and dividend.  Despite the industry headwinds in 2020, our strong financial position, top-quality asset base and dedicated team of people put us in an enviable position to play a role in the consolidation phase of our energy sector with the announced strategic combinations of NAL Resources and TORC Oil & Gas. Now that both business combinations have closed, we are increasing our monthly dividend by 6% to, in essence, $0.18 a share per year, effective with the March dividend payable in April. On the NAL transaction, we had expected no debt on closing and are pleased to advise that once the books were finalized, there was a positive working capital balance of approximately $29 million, primarily due to higher commodity prices. Production on the NAL assets is trending slightly better than forecast. On the TORC transaction, we had been working very closely with their team on the first quarter drilling program. And so the capital handoff and transition also was very seamless. Production on TORC assets is trending as anticipated.  As part of our TORC closing, we're very pleased to announce that Mary-Jo Case has now been added to Whitecap's Board of Directors, and she will serve as a member of the Audit Committee and the Corporate Governance and Compensation Committee. With the limited amount of capital spending in 2020, we saw a modest decline in proved developed producing reserves, but were able to maintain 1P and 2P reserves at strong FD&A metrics, which Darin will be discussing in a few moments.  The health and safety of our employees and consultants has always been a priority at Whitecap, and even more so now in the pandemic environment we are living through. The policies and procedures put in place to minimize operational disruptions due to the COVID-19 were successful in 2020, credit to our Vice President of Health, Safety and Environment, Mike Nerbas, along with the entire team for the successful handling of our COVID pandemic thus far. I'm also pleased to advise that our 2020 safety and environmental performance was exceptional.  I would now like to pass on to Joel Armstrong to comment on some of our health, safety and environment accomplishments in 2020.
Joel Armstrong: Thanks, Grant. At Whitecap, we've always placed health, safety and environment as a top priority within the organization. And in 2020, we tested our existing policies and procedures while implementing new ones to protect all staff while maintaining our operations. I'm pleased to report that in 2020, we posted a combined employee and contractor total recordable injury frequency rate of 0.26 and a lost time frequency rate of 0. This rate equals our best annual safety performance and will be among the best frequency rates posted in the industry in 2020. We reduced overall environmental release volumes from the previous year for a third straight year.  Volumes were reduced by 36% year-over-year. This was achieved through an active and well-resourced asset integrity program and implementation of early detection systems. We also reduced absolute emissions and emissions intensity for a third straight year, and at the same time, continued to sequester approximately 2 million tonnes of CO2. These outcomes combine to grow our net negative emitter status in 2020.  Lastly, despite a reduced capital program, we spent approximately $5.7 million on liability reductions in Alberta, British Columbia and Saskatchewan. We abandoned 84 wellbores in 2020 and received reclamation certificates on 20 locations. With that, I will pass it on to Darin to discuss our 2020 year-end reserves evaluation.
Darin Dunlop: Thanks, Joel. As Grant mentioned earlier, we prioritized the balance sheet in 2020 by limiting capital expenditures to only $196 million, a more than 50% decrease from 2019. Despite the lower capital, we fully replaced our production and maintained our reserves balance year-over-year for both the proven and proven plus probable categories. Our total proved FD&A cost decreased 18% year-over-year to $14.74 per boe, while the proved plus probable decreased 41% to $12.51 per boe. Our PDP FD&A was acceptable at $19.25 per boe, although higher than previous years due to abnormally low oil prices and the subsequently reduced capital expenditure program.  The average price forecast used for our reserves valuation declined year-over-year by approximately CAD 20 per barrel. If you back out the impact of the decline in price forecast, our PDP conversion performance would have been in the range of approximately $10 of boe.  Whitecap has assembled a very strong and predictable reserve base, which was increased by over 36% by the TORC and NAL transaction to 306 million, 497 million and 703 million boe on a PDP, 1P and 2P basis. Assuming an effective date of December 31, 2020, the combined FD&A metrics would have been $14.25, $14.49 and $11.73 per boe on a PDP, 1P and 2P basis. These attractive metrics are in spite of the fact that, one, we have seen a significant rise in our equity price since the announcement of the acquisition, which impacted the purchase price; and two, we elected to take a very conservative approach with the NAL undeveloped reserves, only booking 16 of the 662 gross drilling locations we have identified. Our ongoing technical review over the last 5 months indicates that we will be able to increase the level of booking on NAL's assets substantially in future years.  Our solid reserve base, combined with our current unbooked inventory of over 2,400 net drilling locations, will enable us to meet or exceed our financial goals for many years to come. With that, I'll pass it on to Thanh to provide some color on our financial results.
Thanh Kang: Thanks, Darin. 2020 was a very volatile year for crude oil prices with WTI trading as low as negative $37.63 and as high as USD 63.27 per barrel and averaging $39.40 in 2020. The Canadian light oil differential traded between USD 0.92 and USD 14.40 per barrel and averaged $5.33. And finally, the Canadian heavy oil differential traded between $4.34 and $23.26, averaging USD 12.60 per barrel for the year. On the natural gas front, AECO traded between $1.07 and $3.21, and averaged CAD 2.11 per GJ.  Whitecap's average realized crude oil price prior to the impact of hedges and tariffs was $42.19 per barrel in 2020 compared to $66.11 in 2019, a 36% decrease. Our average realized natural gas price prior to the impact of hedges and tariffs was $2.39 per Mcf in 2020 compared to $1.95 in 2019, a 23% increase. The royalty rate in 2020 of 13.4% was lower than the 2019 rate of 17.9%, primarily due to lower crude oil prices.  Operating expenses were $11.84 per boe in 2020, a decrease of 4% from 2019. The decrease in operating expenses in 2020 is attributed to cost reduction initiatives in response to the low commodity price environment, and was partially offset by lower annual production volumes.  Transportation expenses in 2020 of $2.36 were consistent with 2019. G&A expense of $0.82 per boe in 2020 was 15% lower than 2019 due to onetime cost reduction initiatives. The DD&A rate of $14.23 per boe compared to $18.75 in 2019. The decrease was primarily attributed to an accounting impairment charge of $2.8 billion in the first quarter relating to significant decreases to forecasted benchmark commodity prices.  At year-end, as commodity prices improved in addition to reserve ads and certain CCUs were identified as indicators of impairment reversal, and we recorded an impairment reversal of $432.2 million in the fourth quarter. Approximately 60% of the impairment reversal is due to pricing and 40% due to increased reserves. Stock-based compensation expense of $18.1 million was recorded in 2020 compared to $16.7 million in 2019.  The increase is attributed to $5.5 million realized loss on total return swaps related to settlements in 2020 compared to $0.2 million realized gain in 2019. This was partially offset by a $3.3 million increase in unrealized gains on total return swaps, resulting from new contracts entered into in the second quarter of 2020 and the subsequent increase in share price in the fourth quarter of 2020.  Funds flow for the year was $433.9 million or $1.06 per share, which generated a total payout ratio of 65%, which is after capital investment and dividends paid to our shareholders. Whitecap's balance sheet remained strong with year-end net debt of $1.08 billion on total capacity of $1.77 billion.  Our debt-to-EBITDA ratio was 2.2x, and our EBITDA to interest ratio was 11.2x, both well within our debt covenant. I'll now pass it on to Grant for comments on '21 and his closing remarks.
Grant Fagerheim: Thanks very much, Thanh. It's been an exciting and energizing start to 2021 with a busy first quarter drilling program underway, along with integrating the new staff and assets within Whitecap that we're excited about. The 2021 budget at this point is set up at an average production rate of approximately 100,000 boe per day on capital investments of $280 million to $300 million.  Our budget, using $60 WTI and $2.50 per GJ AECO generates approximately $810 million of funds flow, with free funds flow approximately $520 million and a total payout ratio of less than 50% at 49%. Despite the recent surge in commodity prices, we've elected not to increase our capital spending plans at this time and maintain our 2021 capital guidance at $280 million to $300 million.  We have now fully integrated the NAL and TORC assets into our budget strategies, and we'll look to rapidly move forward on optimizing the returns from these assets within a broad and exciting portfolio of opportunities. Approximately 30% of our post Q1 drilling program will take place on acquired NAL and TORC assets. The base TORC and NAL producing assets continue to perform at or above our expectations at the time of acquisition. Should the current strong pricing environment continue, we will further consider our options to accelerate production per share growth and/or increase return of capital to shareholders.  We have prudently layered in both crude oil and natural gas hedges with a strength in both commodities. We are now 41% hedged in the first half of 2021 and 36% in the second half of 2021 for crude oil and 44% hedged in the first half of 2021 and 36% in the second half of 2021 for natural gas. With our prudent hedge positions, even at $40 WTI, we are generating discretionary funds flow of $123 million after capital and after dividends. We continue to remain disciplined, and we'll focus on balance sheet strength and significant free funds flow generation, which will allow us to end 2021 with net debt of approximately $1 billion on total capacity of $2 billion, and debt-to-EBITDA ratio of 1.1x.  We look forward to providing future updates on the 2021 drilling program, the integration and optimization of the acquired assets as well as the opportunities identified by our new energy team. Our team at Whitecap is energized and excited for opportunities that are in front of us as we advance through 2021 and into the future. On behalf of our management team, our Board of Directors, we would like to thank you, the shareholders and all stakeholders, for your interest and support of Whitecap.  With that, I'll turn the call over to Joanna for any questions.
Operator:
Grant Fagerheim: Well, thanks very much, Joanna. As we conclude the quarterly earnings call, I would like to thank you for your continued support in Whitecap, and wish you the best health through this disruptive COVID environment. We also want to welcome all of the new NAL and TORC staff to our operation and look forward to working with you as we proceed into the future. To all of our shareholders, happy investing. Have a great day. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.